Johan Bartler: Welcome to the fourth quarter press conference. Welcome here today. And we will do -- as always, we will look at the presentations from our CEO and our CFO, and then follow up with a Q&A session. So with that, I hand over to you, Martin.
Martin Lundstedt : Thank you, Johan. And also from my side, most welcome to this quarter 4 2023 reporting and also for the full year, by the way. And I can say that I'm pretty proud and humbled to stand here actually after a year that we have seen here, also given the rather turbulent and complex situation that we have seen around the globe. But if we start with some comments for the fourth quarter, the Group continued to deliver a strong performance with, as you have seen, strong growth in revenues, plus 8% FX-adjusted; increased deliveries of trucks from high levels; a service business that continue also on high levels that I think is a very good sign, showing also that activity level continues amongst our customers; and with four quarter record levels for operating income and operating margin. And the strong outcomes are linked to the professional and dedicated work from all our colleagues and business partners across the globe, given, as I said in the beginning, that we still have a lot of challenges around us. And you have heard me saying that before, and I would like to take the opportunity now, when we have also the full year report here, it's all about the people. And all our colleagues and business partners have really showed how you make a difference this quarter again. And for the full year 2023, we achieved many different financial records and strong financial outcomes. We bypassed SEK 500 billion in revenues. It was almost anticipated, I think, after quarter 3, but still a historical milestone for us as a company, but also to our knowledge, the first Swedish industrial bypassing the SEK 500 billion mark. And this strong revenue growth was combined with record high operating income and margin, as well as return on capital employed exceeding 36%. Then from a business standpoint, we continued to work closely with our customers also in the fourth quarter to stick to the priority, as we have said for some quarters now, of delivering as high volumes as possible to support their demand of equipment by continuously delivering the solid order backlog. Our service operations continued at good levels, supporting the uptime and performance of our customers' fleets. And if we look into 2024, while we still see our customers' transport and infrastructure activity remaining on good levels in many of our markets, we now, as already communicated also in previous quarters, are entering into a more normalized demand situation for new vehicles and equipment on a platform of record strong profitability and high operational performance. Coming into 2024, the market is moving from a market with high demand, and in addition to that, also a pent-up demand to a more normal replacement-driven market. But I think it's important to say that again, that is still a good market and a good place to be. Since we ran our machine at full speed all the way until year-end, we are now and going forward, gradually adjusting the capacity in our system to balance with this normalizing market. And we have, as you know, different flexibility tools in hand for those adjustments. Our current forecast for the 2024 total market is in line with normalized demand, with only minor adjustments also, some ups in Latin America, for example, some downs in Europe slightly to our forecast that we communicated in conjunction with the quarter 3 report. In parallel, we continue to push our transformation agenda. We will today again talk about several important launches and also investments in added new capabilities. The investments in new products and services that we have been doing on elevated levels and will continue to do are serving our customers well and will make sure that we continue to have, also in the future, a leading position when it comes to sustainable transport solutions and also infrastructure solutions. And as you have seen, the Board proposes an ordinary dividend of SEK 7.50 and an extra dividend of SEK 10.50, reflecting the good balance between strong continuous financial strength for the Group moving forward, combined with attractive shareholder returns. So then, if we move in a little bit to the figures, first quarter highlights, then, as I said, strong results; sales, to start with, growing to almost SEK 150 billion -- SEK 148 billion, plus 8% FX-adjusted. Operating income amounted to SEK 18.4 billion, with a margin of 12.4%. We released also a good amount of inventories in the fourth quarter, and operating cash flow amounted to SEK 22.7 billion, which elevated our net cash position to SEK 83.4 billion. And I've already been into return on capital employed. And earnings per share rose to SEK 5.93 in relation then to SEK 3.26 last year. When it comes to volume development, increased our truck deliveries by 4% to almost 66,000 vehicles, despite continued supply chain constraints and also the 6-week strike in North America. And I think that was all in all a great achievement. The deliveries of Volvo Construction Equipment declined by 27%, mainly driven by low deliveries in primarily China, but also Europe and to some extent in Brazil. Deliveries in North America was on par with previous years. When it comes to electrification and the progress in this area, the underlying electric demand is good, and we have high quotation level across regions. At the same time, of course, we experience now, as we do in the general market, somewhat hesitation to take in new orders from the customer side. There is a little bit of wait-and-see mode that we think is rather natural. In addition to that, we also had somewhat lower activity when it comes to the order intake from our side, since we need also to continue to deliver on the order book that we have not, at least in North America, for the truck side. We see that more as a blip on the curve, given the fact that not only orders and the demand there, but also maturing the supply chains, as we have talked about, and this is a natural development. It will not only be a straight line [indiscernible], but we see that this transformation has just started, as you know, but will continue also, of course, to increase the pace. What I think is important also is that we continue now to install the electric truck capabilities in all our different plants. And all truck factories in Europe are now in serial production of electric trucks. So we can really adjust, as we said, a mixed model assembly between conventional and electric trucks and thereby following the demand as we go forward. It is also important that we are working a lot together with that, that we have a balance between the supply of equipment, but in addition to that, also going hand in hand with charging infrastructure, generation of green energy, network capacity, et cetera. All parts of the value chain must continue to mature here. But with that said, we were first out in our core markets, and we will talk about the market shares later here, to push the envelope, and we will continue to push. And we are convinced that this is absolutely the future and an important part of the future. Orders in the quarter, 1,400; deliveries, 1,700. On 12-month rolling, orders, 6,000; and deliveries, 5,000, so still a positive book to bill. When it comes to vehicle and machine sales development, strong sales growth, then, for the Group, plus 9% currency-adjusted. Vehicle and machine net sales were above SEK 150 billion with strong growth, as you have seen, in trucks, on the back of a combination of commercial conditions, both pricing and product content, and also volumes, as I've said before here. And Volvo CE declined on lower deliveries in primarily China, as we said. The volumes were down 27%, but sales or top line were down only 6%, showing also the regional mix effect that has been positive, of course. And it's also encouraging with the continued momentum for Volvo Buses after the longer extension of the effects of COVID for the bus business. So they are gradually now coming back. When it comes to services, continued good demand, as I said, a very important sign, of course, as regards to activity level amongst our customers. It was plus 7% currency-adjusted. And this is a result of improved commercial conditions, obviously, but also with the continuous high activity amongst our customers and the efforts to increase contract penetration and other services that are also paying off step by step. The Group is pacing 12 months rolling at a solid and good level of SEK 127 billion. Group Trucks shows somewhat lower growth figures of 2%. But this is, I should say, primarily, almost to the full extent, related to very strong comparison figures last year when we were growing 10% FX-adjusted quarter over -- or year-over-year. And if you think about the level that we are now, it's still strong that we are continuing to grow out of that figure. For the buses, as I said, passenger transport are coming back very good, and we see that also in the service business. Strong VFS growth from a growing business portfolio. So all in all, good results for services and an impressive achievement by the organization, and of course, very important for our resilience going forward. Group news: a lot of things have happened also in this quarter, I have to say, a lot of encouraging things. First and foremost, we acquired and we are about to acquire and we are still in the closing process, the battery business from Proterra, the division called Proterra Powered. And this is the first step in creating a battery value chain for the Group in North America, but it also adds onto the Group's overall battery capabilities. The deal, as I said, is expected to be closed in the first quarter of 2024. And in quarter 4, we also signed an option agreement to divest our defense arm that are headquartered in France, Arquus, to John Cockerill Defense. When it comes to truck news, lots of exciting news during the quarter and the beginning of 2024 in our truck business areas. A couple of days ago, we revealed the largest product launch in North America ever, and that is the all new Volvo VNL that was launched, and it features a lot of things that I don't have time to go through here. But amongst others, striking, as you can see here also in the movie, aerodynamics. It is engineered to achieve a fuel efficiency improvement of up to 10%. The range delivers improved total customer value, driver productivity, safety and sustainability. The new Volvo VNL is designed to meet all the challenges and demands in the North America and is a platform for the future. And it's also a platform for all the different future propulsion technologies, including of course, the current diesel technology, but also electric, fuel cell, and also combustion engines running on renewable fuels, including hydrogen. And at this stage, a new range comes with 6 different cab configurations, all the way from day cab, up to full-height sleepers. Six years, I sat here in the room, to start with, 6 years in the making. Fantastic, exciting to be at this stage now. And this is really a platform for the future, very, very important for our North American venture and adventure. So, so happy to see all these beauties hit the market now within short year. But in addition to that, the Volvo FH Electric has been awarded International Truck of the Year 2024. It is the fourth time for the FH, the iconic FH range, to get that award. But it's the first time for all brands that a fully electric truck wins this award. Volvo Trucks has also started deliveries for fully electric trucks into Latin America. And in November, Renault Trucks and Volvo Trucks launched a new urban distribution electric truck range. And this range has been increased up to 450 kilometers, 50% shorter charging time, I should say, and new active safety features. So, all this news and the all new Volvo VNL are very good, of course, and exciting news to reveal today. But there is more coming. Already on Monday, Volvo Trucks will continue to launch fantastic new products and solutions that will be available for our customers around the world, products that will continue to reduce CO2, increase customer profitability and take safety to the next level. So, also in that regard, Monday, stay tuned. Then, coming into market environment, I know that you're looking forward to this section and what we will say. When it comes to the truck market forecast, rather undramatic in relation to what we discussed last time we were here together. If we start in North America, the 2023 market ended where we anticipated, around 330,000 units. And for 2024, we reiterate our forecast of 290,000 units. For Europe, the 2023 level also in line because -- of course, to fine tune that, but it was then 342,000 units. And for 2024, we reiterate our view of a normalization of the market, but we are also adjusting slightly downwards. I think that is the main message, slightly downwards with 10,000 units to 280,000. And it is important, as I said in the beginning, to remember that the forecast for 2024 still represents good and solid levels, both for Europe and North America. For Brazil, on the other hand, we are increasing with 10,000 units, up to 90,000. For India, slight adjustments because it's including medium and heavy duty, to 425,000. China, then from a low level of 700,000 up to 800,000, primarily then driven also by renewable fuels. And with this normalization, we are now gradually taking steps to, as I said, also adjust our capacity and cost base accordingly, utilizing the tools that we have in our hands. On truck orders and deliveries, orders were down with 9% on the back of the general normalization that we have discussed in our main markets, while deliveries then were up with 4%. And that was the result of both good production despite, so to speak, also that we have the strike, but also that we were reducing inventories. The order backlog is gradually also normalizing, and we can see that the pent-up demand is now largely delivered by the industry, not at least in Europe. Lead time in North America is still a bit longer and growing in Latin America. And it's interesting, by the way, as a side note, to take a little bit longer horizon of it, didn't have anything else to do on Sunday afternoon. So, I just took it from end of quarter 2 2020 because then, as you remember, we had taken out everything at the [stop phase] of the pandemic and then really got the right quality in the order board. And if you do the 14 quarter book to bill, you see that that's pretty interesting to see that you have that type of balance, Europe and then also North America and other markets. However, normalization is in line with our focus, as I said, and all in all, we had a book to bill that was 75% during the quarter, and that is of course also now that we are adjusting accordingly. And for us it's super important now. And we have stated that also in the upturn and in the downturn, keep the right balance between order intake, production, inventory and deliveries, so we continue to have an order book with the right quality to manage on one side, delivery liability, at the same time, manage inflation and other uncertainties. But the main priority is to maintain our commercial and price discipline. The organization has been working hard to maintain and to reach that value for our solutions, and we will continue to have that as a main priority. Good truck market shares, Volvo, Reno in Europe, good levels of 26.4%. Also knowing that we had a very strong uptick in 2022, so we have continued to maintain a good level here for the total market down, and just above and impressive [indiscernible] also 70% market share on battery electric vehicles for the 2 brands. In North America, Volvo and Mack have been affected by specific supply chain constraints during the year and partly, of course, by the strike for Mack primarily. The 2 brands had a combined market share of 15.2% for the full year. And in Brazil, Volvo's performance remains on good levels with a market share of close to 24%. Also knowing that we were early out with Euro 6 in the beginning of the year, that hampered our market share down, but a very strong finish. And Volvo and Mack in Australia performed well with an all-time high combined market share of 26%. Construction equipment, in December, VCE and the Ammann Group reached an agreement whereby the Ammann Group will acquire Volvo CE's global ABG Paver Business. That is following also the divestments that we did a couple of years ago when it comes to Blaw-Knox in US. The deal is subject to regulatory approval, which is expected to finalize in the first half of 2024. And it's also a part of the journey, together with Arquus, continue to prune the portfolio, [decomplex] and keep focus for the different business areas. Volvo CE continues also its rollout of electric construction machines. And now, we've had several launches in India during this quarter at the ExCon trade show with big interest. For the market forecast, unchanged midpoints for all markets areas with the exception of Europe, where we are adjusting down with 5 percentage points, so largely in line with, so to speak, the general outlook also on the truck side. But for the remaining markets, then we are keeping and reiterating what we said last time. So I will not repeat that. When it comes to orders and deliveries here, in general, both orders and deliveries are down, as expected, with a negative book to bill across regions, but highly in line with our expectations. Maybe some comments on different -- if you look at the product lines, excavator segment is more affected compared to wheel loaders and articulated haulers. And on the industry segment, the construction segment is more affected, of course, that you are well aware of, compared to infrastructure. However, we foresee a continuous solid demand in North America, and that's the reason why we all more or less -- I mean, we have minus 5% as midpoint, but that is a good level, supported by infrastructure projects, while demand in Europe down, and we are decreasing that slightly softer on the back of higher interest rates and the weakened macroeconomic outlook. But overall, orders declined by 26%, as we said before, mainly driven by China. Again, the solid order numbers you have to see also. In North America, it was very strong order intake, 173%. It's the result of a very weak order intake last year, also due to restrictive slotting. So delivery decline of 27% was mainly driven then by lower deliveries in China and somewhat in Europe as well. Buses order increased 12%, mainly driven by improved demand for coaches, traveling coming back gradually and replacement need is there. Deliveries decreased by 15%, but that was also -- again, that is shifting pretty significantly between quarters, depending on deliveries. And quarter 4 2022, we had big deliveries to Chile. So, in comparison, that was disturbing that picture. Book to bill was positive with a ratio of 1.05 -- or 105%. And as announced at quarter 3 report also, we had reached an agreement between the bodybuilder, MCV, for a number of buses, complete built buses, both normal and Arctic versions, as well as electric buses for intercity traffic, supporting the restructuring and the new business model for Volvo Buses in Europe. And very encouraging to see, in quarter 4, the first orders for electric city buses in this new constellation was signed. Great progress because that is a little bit earlier and more speedy than anticipated. Also in quarter 4, Prevost in North America took its largest order ever with 250 firm orders and additional 131 optional orders to the State of New York. Penta orders increased with 1%. You can say strong -- still strong for larger yachts, for commercial vessels and industrial power generation, but weaker for smaller boats, as well as very much in line with what we've heard on trucks and construction equipment when we talk about versatile or industrial off-highway applications. Deliveries decreased by 8%, and book to bill was 92%. And in quarter 4, Volvo Penta further advanced its net CRO initiatives by providing the subsystem to battery energy storage solutions in collaboration with TechnoGen, as you can see on the slide here, and that is then solutions for charging infrastructure for electric heavy-duty vehicles. So that is a part of our ecosystem. And on a final note, Financial Services, record business volume for a fourth quarter, as well as for the full year. We did see portfolio growth across most key markets, and credit portfolio has grown to SEK 254 billion. Portfolio performance continues to be good in most parts of the world, and that is of course driven by the good demand of transportation and construction services across the globe, resulting in strong financial health for our customers, combined with good payment discipline. Also on a final note here, to help customers more easily adopt better electric vehicle technology into their fleets, Mack are now also starting to offer usage-based leasing arrangements for medium-duty electric models, and that is then combined VFS and Mack trucks, so also a very important step now for the North American market. So by that, ladies and gentlemen, I'll leave the presentation for the business report and let Mats come up and do the financial figures. So welcome, Mats.
Mats Backman : Thanks, Martin. So, over to the financials. So this is my first full quarter and my first earnings release with the Volvo Group, and I'm truly honored to join this high-performing team. And I would like to add a special thanks to Martin and the Volvo team for a great onboarding as well. So I think it has been great. But moving into the quarter, and so the good performance continues in the quarter with record high sales, operating income and margin for a fourth quarter. And looking at the cash flow, it was the second-best quarter ever for the cash flow for the quarter. We had a good balance between the perform agenda to deliver here and now and also the transformation agenda that is a little bit more kind of forward-looking. On the perform side, we are driving continuous improvements through price realization to offset the underlying cost inflation. We are driving growth in our service business, and we've also started to gradually adjust production capacity and cost levels to the more normalized demand that Martin talked about. We reduced inventories in the quarter by some SEK 8 billion, and that's obviously very important when it comes to the cash flow. But I would also say that it's extremely important to right-size the inventories when we are heading into the more normalized demand as well then. And we also addressed the portfolio we announced and initiated divestments like the Arquus and also in the construction equipment that Martian talked about. And in parallel, we continue to invest in our transformation agenda. And Martin mentioned the added capability with Proterra as well in the quarter. So all in all, to summarize, a great quarter from a performance point of view with a lot of activities going on as well in the company. If we're looking into the details then and starting off with the net sales, so the net sales increased by 10% to the fourth quarter last year. Excluding FX, net sales increased with 8%, and the FX effect on sales was mainly due to the weak Swedish krona against the euro. The increase was substantial when it comes to Europe and very much supported by 20% increases in deliveries for trucks, and that is combined with the strong price realization as well. North America is positive year-over-year, and that is despite the UAW strike holding back the production for Mack Trucks with about 6 weeks in the quarter. And Asia, as you can see, continues to be affected by the weak construction market. Moving into the operating income on the next slide, so the adjusted operating income for the Group was SEK 18.4 billion with an adjusted operating margin of 12.4%. Like previous quarters, we are maneuvering in an environment of inflation and transformation, and we continue to be successful with price realization, both for vehicles and services, which contributed positively to the result year-over-year. The general inflation and salary increases are negatively affecting the operating expenses. And besides that, we are also investing to be in the forefront of the transformation to electrified and autonomous vehicles. This is reflected in higher activities and thereby increasing R&D and selling expenses. R&D was however only slightly higher year-over-year, and that is related to some positive one-timers that we had in the quarter of approximately SEK 500 million on R&D. The net capitalization effect in the quarter was close to SEK 200 million, and we expect about SEK 1.5 billion for the full year '24 in positive earnings from capitalized R&D, and the effect with SEK 500 million in the first half of the year and another SEK 1 billion in the second half of the year. The negative effect from the UAW strike in North America was about SEK 1 billion, and the joint venture earnings were about SEK 800 million lower year-over-year, and this is mainly due to an impairment in our Chinese joint venture with DFCV. FX had a positive effect on earnings of some SEK 1.1 billion, and we expect full year '24 to have some SEK 500 million negative effect from the transaction exposure. It will be neutral for the first half and then negative in the second half of the year. And we don't give guidance for the full FX effect on earnings. We are only guiding for the transactional effect. Looking at the cash flow, so in terms of cash flow, and as you probably all know, we have a seasonality in the Group with the highest cash flow throughout the year in the fourth quarter, and the fourth quarter 2023 was not an exception from this. We had strong earnings, in combination with good inventory management, delivered about SEK 22.7 billion in cash flow for the quarter, and that is despite high investments in the quarter. On the back of an effective operational balance sheet and record earnings, the return on capital employed improved to 36.7% on a rolling 12-month basis. And net cash in industrial operations reached SEK 83.4 billion, and this is the result of a strong cash flow in the quarter. Moving into trucks, so overall, we had a good momentum in the truck segment in the quarter, and this was with an easing of the supply chain in Europe, as well as you saw on the deliveries that Martin showed previously. The FX increased -- adjusted net sales for Group Trucks of 12% was mainly related to high deliveries in Europe, combined with price. The price realization of vehicles, as well as service, was the main explanation behind the improvement of the adjusted operating margin from SEK 8.3 billion to SEK 13.7 billion, giving an adjusted operating margin of 13.7% for trucks. On the negative side, we had earlier mentioned joint venture performance and the negative effect from the strike in North America. FX impacted adjusted operating income positively by SEK 800 million in the fourth quarter. Looking into construction equipment, total deliveries continued to decrease year-over-year, and this is mainly, as previously mentioned, related to China. FX-adjusted sales decreased 4%. And the substantial decrease in machine deliveries were partly offset by higher prices in general and improved mix when it comes to brand, product, as well as geographical mix. Adjusted operating income increased with SEK 200 million to SEK 3.3 billion, supported by mix and continued strong price realization for CE. On the negative side, we had lower volumes and higher R&D expenses year-over-year. Adjusted operating income margin reached 12.5%, and no impact on earnings from currencies. So we had basically neutral FX year-over-year for CE. Looking at buses, FX-adjusted net sales increased with 8%, mainly driven by strong deliveries on coaches in North America and strong price realization. Adjusted operating income increased with SEK 95 million to SEK 323 million. This is mainly driven by price realization on new vehicles and service, while higher material cost, mainly batteries, had a negative effect on earnings. Adjusted operating income margin increased by 1 percentage point to 4.4%. Currencies had a positive impact of SEK 56 million in the quarter. Moving to Penta and the fourth quarter, so FX-adjusted net sales increased 2% to SEK 5 billion, and this was despite 8% lower volumes in the quarter. Adjusted operating income decreased to SEK 365 million, and this was due to high material and production cost, as well as a loss on the divestment of shares in a distributor in the quarter. All of this was partly compensated by price realization. Adjusted operating margin came in low at 7.3%. FX impacted positively by SEK 99 million in the quarter. And then, last but not least, looking into Financial Services, high deliveries and good price realization on the Group products supported the portfolio growth in the quarter. The credit portfolio increased to SEK 254 billion with a rolling 12-month return on equity of 13.9%. Customer financials and payments continued to be good, reflected in low write-offs and credit provisions in the quarter. Adjusted operating income increased to SEK 1 billion, supported by the portfolio growth and partly affected by spread compression due to fierce competition from banks and leasing companies. FX had a positive effect of SEK 11 million on the adjusted operating income in the quarter. And with that, I'll leave for Martin to summarize then.
Martin Lundstedt: Thank you, Mats. Great. So, in summary, I will not repeat everything that I’ve said because I know that you have been listening already, but some statements at least. Despite extremely challenging conditions, of course, we are very proud to see the full year highlights here. As we said, sales growth then up to SEK 553 billion. And also, record high then for a year, both earnings and margins, and strong return on capital employed. Obviously, now, going forward, it’s important to continue to work very closely with our customers to have the right balance, as I’ve said, between deliveries, order, inventory and production, and we are focusing very much now on this right balance. We see that transport and infrastructure activities continue, and I think that is important to have in mind on good levels, but we are also adjusting accordingly with the flexibility tools that we have. And also to have in mind that the forecasts are largely in line, what we already stated in quarter 3. So we don’t see any dramatic changes moving forward. As a result also then of the total year, and as you can see on the slide here, the Board of Directors then proposes an ordinary dividend of SEK 7.5 and an extra dividend of SEK 10.5 today, then representing a yield that is a little bit higher than 7%. But also, I would like to end this presentation by saying, with high operational performance and profitability, resulting then in a strong financial position moving forward, we continue to prioritize also innovation investments to stay in the forefront of the transformation of our industries and markets, and also to support future growth. The importance of performing today to be able to transform for tomorrow has never been more important, and it will be decisive for the years to come. And this ability to perform and transform should, of course, benefit our customers that we have seen over the year, our colleagues, shareholders and society as a whole. So by that, Johan, we end the presentation, and you will take over for the Q&A.
Johan Bartler: Yes. Thank you. Thank you, Martin. And before we go into the Q&A, we have one more news that we would like to share with the audience here. So, for your planning, please pencil in November 14, Virginia, USA, then we'll host the next round of Capital Markets Day. And as you saw today, we have the launch of the new range in North America, so there will be good opportunities there to try those. Yes. So with that, we'll start with the Q&A.
A - Johan Bartler: So, as we've done before, please limit yourself to two questions. We'll start here in the room, and Mattias from DNB.
Mattias Holmberg: Mattias from DNB. First, could you elaborate a little bit on how you're thinking about the balance sheet strength? You're going to end up quite well above your financial targets on no debt in industrial operations after this quite handsome dividend payout. Should we view this as something you're doing to sort of be prudent in terms of we're heading into a slowdown? Or is this more to be prepared for investments on the transition?
Mats Backman : Because I think in terms of the capital structure and looking at the cash at hand, I think there are at least three components that is really important. First of all, we are in a cyclical business, so we need to kind of mitigate if we're getting big swings on the demand side and also kind of cover up for timing differences in working capital as well then, depending on how severe the downturn is, so first of all, to kind of be there when it comes to the cyclical business. Secondly, we are in the transformation, as Martin talked about, I talked about, with higher investments than kind of the normal, and that's also something we need to cover. And then thirdly, more kind of opportunistic then, looking at what we did with Proterra in the fourth quarter, for an instance, that we have the capacity to bring and to kind of grab an opportunity like Proterra. So I think those 3 items are important to remember when you're kind of considering the capital structure.
Martin Lundstedt: Yes. And I think also, just to add, if we look at quite a number of years past now, so we have been really consistent in how we think about it. Of course, we should have an attractive return to our shareholders when we are performing. And at the same time, we should make sure that we have the maneuverability. So I think without, so to speak, having specific opinions, but if we look at the total return for the Group over some years, both when it comes to the development in the stock market, but also when it comes to returns, I think it has shown also to be a wise strategy to have a long-term pattern on that. So it's a good balance according to the Board, and that will be proposed this quarter.
Mattias Holmberg: A quick second one, and sorry if I missed this, but could you at all quantify how big the loss in share of sales in Penta was, just so we can better understand the underlying profitability?
Mats Backman: Again, the loss of...
Mattias Holmberg: I think you mentioned that you made a loss in share of sales...
Martin Lundstedt: Divestment of shares in...
Mats Backman: Yes, of around SEK 60 million, in effect.
Johan Bartler: Yes, Erik?
Erik Golrang : Erik Golrang, SEB. I want to start with just some more clarification there on the increased loss in JVs and associates. You said the main delta there year-over-year related to that. Was that an impairment? Was that sort of the underlying performance of Dongfeng and the others? Or was there a one-off item in there?
Mats Backman: It's a one-off item. So it's basically an impairment of deferred tax asset. And that's kind of natural when you're coming from the business environment in China, and you get those kinds of effects in the balance sheet, so about SEK 600 million related to that impairment in the quarter.
Erik Golrang: And the second question is on cost. You talked about starting to do some selective cost adjustments to adapt to lower demand. What exactly is that? And sort of what are you planning for there? And then, a third one, even though there was only 2. But order -- when will you start to take orders on the new VNL in the U.S.? And also, whatever news you're having from Monday, when will you start to take orders on that one?
Martin Lundstedt: And the news after that. Because I think that is also a strength that we continue actually to really launch in different steps, and that will be North America, but it will also be in the global arena here. No, but when it comes to the adjustments, obviously we have, as I said, flexibility tools in hand to adjust to have that right balance between what is now the current demand situation, what is the inventory levels, how does it look like when it comes to the production rates. So that is the first thing that we do now. We are adjusting so we keep the balance. For us to continue to maintain a good commercial execution will be the highest priority. We will not prioritize chasing the lost percentage points when it comes to market share in a downturn. We will make sure that we keep the quality in the business, and we have the flexibility tools of doing so in our industrial system. Obviously then, depending on the development -- now, we don't see any dramatic, so to speak, changes as we're seeing here. We're talking about 15%, 20% adjustment in Europe on new vehicles and maybe a 10%-ish, and maybe that can even be on the upside if -- or, I mean, it could be less than so, when we look into North America. Flexibility is key, but also to keep the right balance is key, and we will not sacrifice the quality of the business on that side. Then, when it comes to order, we are starting now gradually to take order on this, and as we said, super excited about it. Initial reactions coming in very strong. A platform for North America that is containing, of course, a lot of features for the customers, but also containing industrial capabilities for us moving forward that are very important.
Mats Backman: Maybe to add on the flexibility side, if we’re looking at the kind of flexibility tools we have to meet the percentage that Martin talked about, overall, if we’re including temps, consultants and also the time-banks on the blue-collar side, we have a flexibility or flexibility tool then in the system that will compensate for at least 20% in terms of this kind of normalizing market. And I think that’s almost over and above what we have talked about when it comes to the normalization. So, good flexibility tools that has been kind of built up over time now with the good times.
Johan Bartler: Very good. Then, we're turning to the telephone line, and Jose Asumendi from JPMorgan.
José Asumendi: Congratulations on the results. I wanted to come back a little bit, please, to these flexibility measures you have. Can you maybe specify a little bit more what kind of worker layoffs you're applying to do maybe in the first 6 months of the year? And also, how your share of revenues from aftermarket will rise through 2024, allowing you to maintain margins on the truck business specifically? Second question would be around Proterra. If you could please comment a little bit around the logic of the deal?
Martin Lundstedt: Yes. Thank you, Jose. And first and foremost, what you can say about that is obviously that the flexibility measures that we – I mean, we talked about a little bit in the preparation, to be fair here, what is the starting point, by the way? Because obviously, it has been going up now in different steps. We have also been clear that we have had extra manning in relation to what we needed also in the peak levels because we have had a stop-and-go situation. Mow, with the normalized demand, obviously, we are also seeing a gradual less disturbances when it comes to the normal supply chains. Then, we have a number of other effects that related to the turmoil that we see, unfortunately, for example, in Middle East and the [indiscernible]. But generally speaking, it’s difficult to say exactly. I think Mats’ point is the most important. We have the flexibility tools in order to adjust to keep the right balance between order, production levels, inventory and then output, and we will not compromise that because also maintaining commercial excellence is the main priority. Then, when it comes to the share of the market or how that will continue to develop, let’s see because that is of course related to one part of the activity level amongst our customers. But so far, it is holding up well. And you did see that also, we had high comparison figures for trucks, and despite that, we still had a 2% growth year-over-year, currency-adjusted. And of course, we continue also to work with structural, so to speak, improvements in our service portfolio, not at least on the contract penetration that you also know gradually or give an effect because that is the portfolio management, so super-important area, obviously, as I said, for future resilience and current resilience also, by the way. Finally, on Proterra, a number of logics. We had been looking to Proterra for a number of reasons before the opportunity came up. Obviously, we have a rather broad scope of applications that we need to cover, and we had already seen that Proterra had an interesting modular approach to modules and packs. And now, when the opportunity came along, and also, so to speak, with a strategic fit into the Volvo Group, it was a rather easy and good choice for us to pursue that. So, that will establish a footprint in North America on this, but it will also, as I said, give further abilities and capabilities when it comes to the battery portfolio as such, since that consists of, as you know, cells, modules, packs, software, cooling systems, et cetera. And the key here in order to achieve scale, but still also the tailor made solutions for different applications, is really modularity as in all other parts of our business. So, still to be closed, still to be finalized, but very excited about that.
Johan Bartler: Hampus Engellau from Handelsbanken.
Hampus Engellau : Two questions for me. I know you don't provide forecasts, et cetera, on profitability, but last year was a quite special year. I would assume the last trucks that were sold were maybe not the most profitable ones, and this 20% flexibility that you're talking about. And I know you guys have been managed to push on price for this year. So could you maybe just talk a little bit about how you think about operating leverage? Not adding any numbers, but maybe between first and half also this year. And I'll take the second.
Mats Backman: I can start. And we are not kind of giving any forecast, and you know that. But just looking...
Hampus Engellau: We know that you're stubborn.
Mats Backman: Exactly. Then we might make an exception. No, but looking at the kind of the different parts, then, first of all, in terms of pricing, just kind of logically, if you're looking at the prices, we have a carryover from 2023. And given the kind of the nature of the timing of the year '23 with the price increases, we will definitely see a quite big carryover effect than in the first half of the year. So that is -- nothing is for free. But in that respect, it's, so to speak, for free. And then, it depends on what we can do on prices in '24. But that's the starting point. In terms of leverage, it's never good to lose volume. That's a positive looking at the cost side. But to some extent, you have a point in kind of the marginal cost for the last truck in this kind of -- almost kind of overheated environment that we saw with the pent-up demand. And I think there are also an opportunity to kind of stabilize the whole production down with the more normalized levels and start going back to the old fashioned continuous improvements and working with the processes. So there are some opportunities on that side.
Martin Lundstedt: I think the last point that you are saying here, Mats, is the key, obviously, that it has been a lot rightly so focused on really getting the volumes out because at the end of the day, that is about serving our customers. If customers are not happy, we will not be happy in the long run. So we have prioritized whatever we can do to actually execute on the order board. As Mats said, and as I said, when we can -- hopefully, it has been 3, 4 years -- I mean, we have been standing here in like, as I said, 14, 15 quarters, talking about exceptions in one way or another and different types. So can we come in? I cannot promise that because it's a complex world, but if we can come into a little bit more of a normalized situation, really work with underlying, so to speak, process, et cetera, that we have been doing, but not to the extent that we normally do, it will also be supporting that type of job.
Mats Backman: And maybe one more point, and that's the working capital, and that's why it was so good to see the destocking in the fourth quarter because you will always have an under-absorption when it comes to kind of a destocking. You don't want to take that under-absorption in the same time as you are kind of losing volumes. So I think the starting point is better with what we have done in the fourth quarter as well.
Hampus Engellau: Excellent. And I'll take my second question. I guess it's related. If you maybe could comment on lead times, North America and Europe? I guess, you're running in different gears now. But also, can you maybe confirm, are you taking orders for full year in Europe now? Or is it still restricted? And that's the same for North America.
Martin Lundstedt: Yes. Thank you, Hampus. No, as we said, Europe is gradually coming down now. Let's say that we are somewhat more than a quarter maybe, so we are 4, 5 -- let's say, 3, 4, 5 weeks more than normal, but still, it's a horizon that we can manage, and I think it's good for everyone in the long run. And then, it's getting more into where is the normal market, and you can adjust, as we said, the right balance. And North America, still, as a matter of fact, at least 1 quarter more than that. So there, we see that first half of the year is full, and it's still, so to speak, a slotting exercise. So we're not stretching that out too far in time with promises, both when it comes to deliveryx and commercial conditions, et cetera. Europe is -- so you can say it's a quarter difference both on construction equipment and on trucks. But still good -- I mean, good and normal order levels. And that's the reason why it's so important also to adjust accordingly so you're not hitting the wall later on, so to speak.
Johan Bartler: We turn to the telephone line, and Hemal Bhundia from UBS.
Hemal Bhundia: Firstly, can you talk about the visibility of the backlog and how many months or quarters you currently have? And following that, what are your customers telling you about later this year?
Martin Lundstedt: I think, very much related to what we just discussed here on the backlog, if you take the more general picture now, Europe, if I take the bigger, it has been gradually then coming down, and you can say that we have continued also on higher – you did see that on deliveries that still we’re up then both sequentially, year-over-year, continue to prioritize that we are really executing on that also because you don’t want to sit with a too-high order backlog when the market is normalizing, both from the inventory level, but also on the order book quality as such. So now, when we are coming down to more normal guidelines, maybe with 3, 4 weeks extra, then it’s about really continuing to also adjust production accordingly, as we have discussed. So Europe, for both construction equipment trucks, similar pattern, well managed in the organization, well under control. North America, also similar pattern, approximately 1 quarter more than, so 2, 2.5 quarters. And interesting enough, as I said, I did that exercise also to feel sure about it a little bit because if you look at – this is a side note, but if you look at construction equipment, you have actually had a negative book to bill during the whole period in North America, if you look at it here. So then, you can see how can you have still a quarter more. But it was really that you had such a big positive book to bill the year before. And then, obviously, it’s the first in, first out, and we have managed that well. So still what we are carrying in the order board has good quality, and that is approximately 1 quarter extra in North America in relation to Europe. Then we also see – by the way, that I think it’s important to state that the order board is now growing healthy and with good speed in Latin America.
Johan Bartler: I think there was 1 question from Hemal regarding the end of the year, something there.
Martin Lundstedt: Early out now in the year to speculate. I assume some of you are thinking about, okay, what will happen in North America? When will prebuy start to kick off? I think depending now on the development, will it be continued, so to speak, strengthening of the soft landing type of scenario, or even a little bit upside on that, who knows? And we can speculate about that. I think the most important – we are doing the adjustment now. We have the flexibility tools of doing so downward and upwards, et cetera. So let’s see. Now is the guidance that we have on 280,000 for Europe, 290,000 for North America, 90,000 for Latin America. It’s an interesting place to be. There are advantages to be in that market situation also for a couple of quarters, I can tell you, after a lot of stretches.
Johan Bartler: Bjorn, Danske Bank.
Björn Enarson : Yes. On Europe, to take the correct actions, you talked a lot about. But typically, in a slowdown or normalization, as you put it, we typically see discounts increasing or price cuts coming as maybe the industry as a whole are not taking the correct actions. But are you -- what kind of signals are you seeing from competition, from customers? And are you ready to maybe lose some share to be more prudent in your productions? Are you confident heading into the year? Europe is clearly slowing.
Martin Lundstedt: Yes. Of course, that is a very important question. Europe is slowing or correcting. And the reason why I would like to say normalizing or correcting is because also to have that flavor into it, that is correcting down to an underlying trend line where we know how we can actually operate our own system, at least. Then, as I said, for us, it's important that we have established the value for our products and solutions in the market, and that has been extremely important also in light of the future that we are having a very interesting but also big transformation ahead of us. So maintaining commercial discipline is very important to us. If that short term will come with certain market share adjustments, may it be so, because I think it's more important to also -- vis-a-vis also our customers to be credible that this is the value that we are providing and it can give a good value over the long run.
Björn Enarson : And perhaps, you have been a little bit more cautious on -- I mean, we have seen issues with residual values in the past.
Martin Lundstedt: Yes. And I think there also -- I mean, as you say, when you look at the residual values and if you look at the whole used truck market and how that has been developing, we don't see any unhealthy levels when it comes to used. In certain cycles historically, we have seen, when we are coming in, it's a little bit like unemployment. If you're coming into -- with a too high level, you are sitting on a problem here. I think first and foremost, we have managed our portfolio very prudently, and also, both when it comes to the levels and how we think about the residual values in, so to speak, the used portfolio, and we will continue to do so. So, it's -- I agree.
Björn Enarson: Last question. And how big of a headwind was sourcing last year?
Martin Lundstedt: I don't think we'll give any specifics for now.
Björn Enarson : Maybe expect a tailwind this year.
Johan Bartler: Do we have any final question in the room? Agnieszka, Nordea.
Agnieszka Vilela : Just 1 question for me is on the impacts from the Mack strikes. Could you quantify the impact, whether you had it on the order intake and on profitability, and also if there will be any kind of carryover impact in Q1?
Mats Backman: We had -- I mean, the total kind of financial effect, SEK 1 billion, as I said. And in terms of loss of vehicles for Mack, I think we lost 500 vehicles, if I recall, for Mack. But being a quite low number, so to speak, but it came with a cost as well, and that needs to be remembered. I don't know about the effects into '24.
Martin Lundstedt: No. First and foremost, I can say that, of course, Mack is in a good place when it comes to what we see, continuous investments in infrastructure and not at least road, energy systems, et cetera, where Mack traditionally has a strong situation, so order board is strong. Then, it's always difficult, I guess, to say exactly how will that -- I mean, can we recover the full theoretically that we lost there, et cetera. But I think it is -- of course, before you're getting the full machine to get going again, it could be some effects. But what I think is important to state is that we have reached an agreement that is sustainable for us in the long run. And now, we are back on track and we will stabilize that. And we have, in particular for Mack, a very, very strong order board. So, the priority for us, not only this year, but for the coming years, is really to increase our long-term ability to have stable volume output in North America. And that has -- there we have still work to be done, basically. And that is not just related to that, but continue to work on that.
Agnieszka Vilela: Perfect.
Martin Lundstedt: Anything to add?
Mats Backman: No.
Agnieszka Vilela : And your competitor earlier this week provided the guidance for their parts sales growth for 2024. And I wonder if you could venture to do it as well. Just assuming normal kind of machines and trucks utilization and the fact that you have your fleet aging now, what do you see for the service ex-financial services growth in 2024?
Martin Lundstedt: Yes. Coming back to the comment to Hampus here about stubbornness, we don't give any guidance on that. But having said that -- I mean, and that we of course say that we still see potential in the service business, both what you said, aging fleet, we have had rather high deliveries, they are aging, et cetera, but also, as we have seen a very clear and intentful work when it comes to the contract portfolio, et cetera. So without giving any guidance, this is one of the key areas for us, VFS included and excluded, if I would like to answer. But we don't give any guidance as others do.
Johan Bartler: Thank you very much. That concludes the Q&A session and this press conference. All materials presented today is available on our webpage. And with that, thank you for coming.
Martin Lundstedt: Thank you.
Mats Backman: Thank you.